Operator: Welcome to the MBIA Inc. First Quarter 2021 Financial Results Conference Call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor and Media Relations at MBIA. Please go ahead sir. 
Greg Diamond: Thank you, Maria. Welcome to MBIA's conference call for our first quarter 2021 financial results. After the market closed yesterday, we issued and posted several items on our website, including our financial results, 10-Q, quarterly operating supplement and statutory financial statements for both MBIA Insurance Corporation and National Public Finance Guarantee Corporation. We also posted updates to the listings of our insurance portfolios. Regarding today's call, please note that anything said on this call is qualified by the information provided in the company's 10-K, 10-Q and other SEC filings as our company's definitive disclosures are incorporated in those documents. We urge investors to read our 10-K and 10-Q as it contains our most current disclosures about the company and its financial and operating results. Those documents also contains information that may not be addressed on today's call. The definitions and reconciliations of the non-GAAP terms included in our remarks today are also included in our 10-K and 10-Q, as well as our financial results report and our quarterly operating supplement. The recorded replay of today's call will become available approximately two hours after the end of the call, and the information for accessing it is included in last – in the press announcement and in the financial results we posted on our website yesterday. Now, I'll read our Safe Harbor disclosure statement. Our remarks on today's conference call may contain forward-looking statements. Important factors such as general market conditions and the competitive environment could cause our actual results to differ materially from the projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-K and 10-Q, which are available on our website at mbia.com. The company cautions not to place undue reliance on any such forward-looking statements. The company also undertakes no obligation to publicly correct or update any forward-looking statement if it later becomes aware that such statement is no longer accurate.  For our call today, Bill Fallon and Anthony McKiernan will provide introductory comments and then a question-and-answer session will follow. Now here is Bill Fallon.
Bill Fallon: Thanks Greg. Good morning everyone. Thank you for being with us today. We are pleased to have recently reached an agreement with the Oversight Board to resolve our Puerto Rico Highways and Transportation Authority exposure. This agreement means we will continue to support the Commonwealth's general obligation and Public Buildings Authority Plan Support Agreement. Following these agreements, restructuring frameworks are now in place to address practically all of our Puerto Rico exposure. The proposed timelines for confirmation of the plans incorporating these agreements suggest that each of these debt obligations could be resolved by early to late 2022. However, there can be no assurance that confirmation in those time frames will actually occur. While the Oversight Board's attention has largely -- has been largely directed to the GO and HTA debt this year, we remain hopeful that the process for implementing the restructuring support agreement for PREPA will soon regain momentum as well. Regarding National's litigation against certain underwriters of some of its insured Puerto Rico debt, we continue to await a ruling on the defendant's motion to dismiss the case. Turning to the other credits and National's insured portfolio, most of these credits have continued to perform consistent with our expectations. The outstanding gross par of National's insured portfolio continues to reduce, declining to $40.5 billion at March 31 2021, down $1.4 billion from year-end 2020. At March 31 2021, National's leverage ratio of gross par to statutory capital was 21:1. Now, Anthony will provide additional comments about our first quarter financial results.
Anthony McKiernan: Thanks, Bill, and good morning. I will begin with a review of our first quarter 2021 GAAP and non-GAAP results. The company reported a consolidated GAAP net loss of $106 million or a negative $2.16 per share for the first quarter of 2021, compared to a consolidated GAAP net loss of $333 million or a negative $4.62 per share for the quarter ended March 31 2020. The lower net loss this quarter was driven by several factors: lower loss and loss adjustment expense at MBIA Corp.; net gains on financial instruments related to our interest rate swaps associated with the GIC business due to higher interest rates; and lower overall interest expense due to debt repurchases and paydowns over the last year. These items were somewhat offset by higher loss in LAE at National, lower net investment income due to lower invested assets at National and lower VIE income. Loss in LAE incurred at National this quarter was due primarily to assumption changes in our credit loss scenarios related to the recent agreement on the Puerto Rico Highways & Transportation Authority, HTA and the increase in risk-free rates used to discount certain of our Puerto Rico assumed losses and recoveries. More than half of the loss incurred this quarter is due to the increase in GAAP discount rate with the remainder being credit-driven by HTA. Loss and loss adjustment expense this quarter at MBIA Corp. was lower than last year's first quarter primarily due to the increase in the risk-free rates used to discount claim payments on its first-lien RMBS exposure, which offset a reduction in estimated recoveries on claims paid on the Zohar CLOs. The company's adjusted net loss, a non-GAAP measure was $116 million or a negative $2.36 per diluted share for the first quarter of 2021 compared with an adjusted net loss of $47 million or negative $0.65 per diluted share for the first quarter of 2020. The unfavorable change was primarily due to higher loss in LAE at National. Book value per share decreased to a negative $0.76 per share as of March 31 2021 compared to $2.55 per share as of December 31, 2020, primarily due to the first quarter 2021 net loss of $106 million and unrealized losses on investments due to higher interest rates. As we have said previously, the negative GAAP book value of MBIA Corp. of $32.19 per share, which includes $1 billion of accrued but unpaid interest on its surplus notes, has and will materially contribute to the decline in consolidated book value of the company. Management believes that MBIA Corp. does not have significant economic impact on MBIA Inc.'s shareholder value. I will now spend a few minutes on the Corporate segment balance sheet and the insurance companies. The Corporate segment, which includes the activity of the holding company MBIA Inc., had total assets of approximately $900 million as of March 31, 2021.  Within this total are the following material items. Unencumbered cash and liquid assets held by MBIA Inc. totaled $298 million as of March 31, 2021 which was essentially unchanged from December 31, 2020. The holding company has no principal payments coming due on the Inc. debt or GFL notes for the remainder of 2021. There were approximately $430 million of assets at market value pledged to the GICs and the interest rate swaps supporting the legacy GIC operation. As of March 31, 2021 there were no tax deposits in the tax escrow account and we expect that tax escrow releases will not be a meaningful contributor to holding company liquidity in the future. Turning to the insurance company's statutory results. National reported a statutory net loss of $35 million for the quarter end March 31, 2021 versus a statutory net loss of $80 million for the quarter ended March 31, 2020. The favorable result was due to lower loss in LAE on Puerto Rico exposures partially offset by a current tax benefit in the first quarter of 2020 but included an additional benefit related to the CARES Act. During the first quarter of 2021 National paid $51 million of gross claims on its insured Puerto Rico bonds with $1.6 billion paid inception to date. As of March 31, 2021 National's total fixed income investment portfolio including cash and cash equivalents had a book-adjusted carrying value of $2 billion. Statutory capital was $1.9 billion and claims paying resources totaled $3.1 billion. Insured gross par outstanding reduced by $1.4 billion during the quarter and now stands at $40.5 billion. Turning to MBIA Insurance Corp. The statutory net loss was $34 million for the first quarter of 2021 compared to a statutory net loss of $91 million for the first quarter of 2020. The favorable comparison was due to lower loss in LAE, partially offset by lower foreign exchange gains. Loss in LAE this quarter was driven by the decrease in expected recoveries on the Zohar CLOs. As of March 31, 2021 the statutory capital of MBIA Insurance Corp. was $237 million compared to $273 million as of December 31, 2020 due to the net loss for the quarter. Claims paying resources totaled $895 million. Cash and liquid assets increased materially during the quarter to $503 million, as of March 31, 2021 versus $130 million as of December 31, 2020 due principally to the $600 million cash received in February from the RMBS putback settlement with Credit Suisse that we announced last quarter. MBIA Corp. paid $150 million toward the paydown of the MZ Funding senior note during the quarter with remaining senior notes outstanding of $127 million and subordinated notes of $67 million as of 3/31/2021. MBIA Corp.'s insured gross par outstanding reduced by $419 million during the quarter and was $7.3 billion as of March 31, 2021. With Credit Suisse now behind it, MBIA Corp.'s largest remaining legacy remediation and projected recoveries are related to the Zohar CLOs. And now we will turn the call over to the operator, to begin the question-and-answer session.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from the line of Tommy McJoynt of KBW.
Tommy McJoynt: Hi. Good morning guys. Thanks for taking my question. So you mentioned being hopeful that, the PREPA negotiation should regain some momentum soon. Is there any specific data or events kind of we should be thinking about along that timeline to look for next?
Bill Fallon: There is no specific date, set at this time, Tommy. But, we do think now everyone's attention will turn towards PREPA given that, HTA and the GO deals have been agreed to. But again, no specific date.
Tommy McJoynt: Okay. Thanks. And then, can you discuss kind of the Board's thinking on, potentially authorizing additional buybacks at National?
Bill Fallon: Sure. Anthony, do you want to talk about some of the details with regard to buybacks?
Anthony McKiernan: Sure. So at this point, as you know Tommy, we're repurchasing or purchasing MBIA Inc. shares through National. National has capacity constraints that are limited by calculations for New York insurance law, that essentially require it that it can purchase no more shares than 50% of the surplus, of National. So for example, at the end of the first quarter, the surplus was about $1.5 billion. Give or take, 50% is about $750 million of capacity. And when you look at the amount of shares that National's repurchased to-date, the market value of those shares exceeded the $750 million.  So as of today, National doesn't have capacity to buy MBIA Inc. shares. To the degree, that surplus goes up or the market value of the stock goes down, that could open-up availability for National to purchase shares in the future.
Tommy McJoynt: Okay. That's helpful to put some numbers around that. Thanks. And then, just lastly, thinking about kind of over the next, I guess a year or two, you mentioned, there being plans in place potentially to get resolution on all of the Puerto Rico credits by early to late 2022. What kind of actions, are you kind of thinking about to create kind of value for shareholders kind of over that interim time period? 
Bill Fallon: Well, as we've mentioned in the past, Puerto Rico, we think, is the highest priority. So getting those deals actually executed is the top priority, as well as PREPA as we've already talked about. During that time, we expect the portfolio to continue to decline, which we think is helpful. And as we've talked about, the key things for us are getting money from National up to the holding company and then, also, looking at strategic alternatives, which we've been very clear about. We think there's further consolidation in the industry and that we're likely to be a seller at some point in the future. So those are the things that we will continue to focus on.
Tommy McJoynt: That’s helpful. Thanks for the comment.
Operator: [Operator Instructions] Our next question comes from the line of John Staley of Staley Capital Advisers. 
John Staley: Hi. I'm just curious, the settlement agreements that you're working with the Oversight committee, are they completely consistent with Assured Guaranty, who announced several times during the quarter about their progress? And you guys didn't announce anything. Are you guys all on the same page?
Bill Fallon: Yes. So the agreements on HTA, which is the most recent one, which then has the link back to the GO deal, John, we and Assured are both in those deals.
John Staley: Okay. Thank you. So I'm assuming that you and your management team are holding to your -- holding your stock and I haven't noticed any selling or buying into insiders.
Bill Fallon: Look, I can't speak for everybody, but other than for, what we call tax settlement, I've never sold a share of stock. I've been purchasing, as you know. 
John Staley: Yes. You and I are on the same page. Okay. Thank you.
Bill Fallon: Yes.
Operator: And at this time, I'm showing no further questions. I'd like to turn the floor back over to Greg Diamond for any additional or closing remarks.
Greg Diamond: Thank you, Maria, and thanks to those of you listening to our call today. Please contact us directly, if you have any additional questions. We also recommend that you visit our website at mbia.com for additional information about our company. Thank you for your interest in MBIA. Good day and goodbye.
Operator: Thank you, ladies and gentlemen. This does conclude today's first quarter 2021 financial results conference call. You may now disconnect.